Operator: Good afternoon and welcome to the Enphase Energy Fourth Quarter 2022 Financial Results Conference Call. [Operator Instructions] Please note today’s event is being recorded. I would now like to turn the conference over to Karen Sagot. Please go ahead.
Karen Sagot: Good afternoon and thank you for joining us on today’s conference call to discuss Enphase Energy’s fourth quarter 2022 results. On today’s call are Badri Kothandaraman, our President and Chief Executive Officer; Mandy Yang, our Chief Financial Officer; and Raghu Belur, our Chief Products Officer. After the market closed today, Enphase issued a press release announcing the results for its fourth quarter ended December 31, 2022. During this conference call, Enphase management will make forward-looking statements, including, but not limited to, statements related to our expected future financial performance, the capabilities of our technology and products and the benefits to homeowners and installers our operations, including manufacturing, customer service and supply and demand, anticipated growth in existing and new markets, the timing of new product introductions and regulatory matters. These forward-looking statements involve significant risks and uncertainties and our actual results and the timing of events could differ materially from these expectations. For a more complete discussion of the risks and uncertainties, please see our most recent Form 10-K and 10-Qs filed with the SEC. We caution you not to place any undue reliance on forward-looking statements and undertake no duty or obligation to update any forward-looking statements as a result of new information, future events or changes in expectations. Also, please note that financial measures used on this call are expressed on a non-GAAP basis unless otherwise noted and have been adjusted to exclude certain charges. We have provided a reconciliation of these non-GAAP financial measures to GAAP financial measures in our earnings release furnished with the SEC on Form 8-K and which can also be found in the Investor Relations section of our website. Now, I’d like to introduce Badri Kothandaraman, President and Chief Executive Officer of Enphase Energy. Badri?
Badri Kothandaraman: Good afternoon and thank you for joining us today to discuss our fourth quarter 2022 financial results. We had a good quarter. We reported record quarterly revenue of $724.7 million, shipped approximately 4.9 million microinverters and 122-megawatt hours of batteries and generated free cash flow of $237.3 million. Approximately 55% of our Q4 microinverter shipments were IQ8. We exited the fourth quarter at 44% gross margin, 12% operating expenses and 32% operating income, all as a percentage of revenue on a non-GAAP basis. Mandy will go into our financials later in the call. Let’s now discuss how we are servicing customers. Our Q4 net promoter score worldwide was 71% compared to 70% in Q3. Our North American net promoter score was 74% compared to 71% in Q3. Our average call rate time was quite down to 1.6 minutes compared to 4.8 minutes in Q3. We started our teams well, focused on root cause, fixes of customer issues and improved our business processes. Let’s talk about microinverter manufacturing. Our overall supply environment remains quite stable in general. There are issues that crop up from time-to-time. Our teams are staying on top of them. Our quarterly capacity was 5 million microinverters exiting Q4. We are on track to begin manufacturing at Flex Romania starting this quarter, enabling us to service Europe better. This will enable a total quarterly capacity of 6 million microinverters exiting Q1. We are going to increase this capacity even more with U.S. manufacturing. Let’s cover that now. As we discussed last quarter, we are pleased that the IRA will help bring back high-tech manufacturing to the U.S. and stimulate the economy through the creation of jobs. We are excited to service the U.S. customers better with local manufacturing. We plan to begin U.S. manufacturing of our microinverters in the second quarter of 2023 with a new contract manufacturing partner and in the second half of 2023 with our two existing contract manufacturing partners. We plan to open 6 manufacturing lines by the end of this year adding a quarterly capacity of 4.5 million microinverters, bringing our total quarterly capacity to more than 10 million microinverters as we exit 2023. We continue to await the details of IRA implementation from the U.S. Department of Treasury. Let’s cover the regions. Our U.S. and international revenue mix for Q4 was 71% and 29% respectively. In the U.S., our revenue increased 15% sequentially and 59% year-on-year. We had record quarterly revenue, record quarterly sell-through for our microinverters and record quarterly installer count in the fourth quarter. Our microinverter channel inventory was quite healthy at the end of the fourth quarter, while our storage channel inventory was a little elevated. I will go into more details about our batteries later in the call. In Europe, our revenue increased 21% sequentially and more than 130% year-on-year, led by strong demand in Netherlands, France, Germany, Belgium, Spain, Portugal and the UK. We had record sell-through and record installer count in Q4 as we continue to grow our business. We started shipping our IQ8 microinverters into Netherlands and France in Q4. We are working hard to introduce IQ8 into other European countries shortly. Also, we are currently shipping IQ batteries into Germany and Belgium. We expect to start shipping IQ batteries into Austria, France, Netherlands and Spain in the first half of this year. Our GreenCom Networks acquisition, which closed in the fourth quarter helps to integrate Enphase microinverters and batteries with third-party EV chargers and heat pumps, enabling homeowners to control their devices from one app, which is the Enphase App. We are integrating the GreenCom offering with the Enphase ecosystem and expect to make it available to our European installers shortly. Now I will provide some color on Latin America, Australia and Brazil. In Latin America, our revenue doubled year-on-year. We had steady growth in our solar plus storage business in Puerto Rico during 2020. In Australia, the solar market continued to recover in Q4 after a weak first half of the year. We expect to introduce IQ batteries in Australia, along with IQ8 microinverters in the second quarter of ‘23. As for Brazil, we experienced significant quarter-over-quarter revenue growth as we saw increased deployment of our IQ7 family of microinverters. The residential solar market in Brazil continues to grow rapidly. We have a very strong team in place. And we are excited about our future growth in the country. The emerging residential markets in Brazil, Mexico, Spain and India are all moving to high-wattage panels. In order to service them better, we plan to introduce a high-power 480 watt AC microinverter in the second quarter. Let’s discuss our overall company outlook for Q1. We expect our Q1 revenue for the company to be within a range of $700 million to $740 million. We are fully booked for Q1 right now. Let me provide some additional information on the key regions, first about Europe, then about the U.S. Our Europe business is doing very – is very strong as I noted. Note that we also doubled our revenue from 2020 to 2021 and more than doubled again from ‘21 to ‘22. We have a strong team in place and are quite bullish about 2023. We expect to introduce IQ batteries and IQ8 microinverters into many more countries in Europe as we progress through the year. Our value proposition is our differentiated home energy management systems, combined with high quality and great customer experience. As for Q1, we expect healthy growth compared to Q4, consistent with the overall growth in the European market. Let’s now cover the U.S. We expect our U.S. business to be slightly down in Q1 compared to Q4, primarily driven by seasonality and the macroeconomic environment. We are seeing that our distributor and installer partners are a little more cautious in booking orders. We normally have a 6-month order visibility and that has been somewhat reduced as our partners watch their spending closely. On the sell-through of our microinverters, while December was quite strong for us we saw a more pronounced seasonality in January than normal. There are a couple of interesting observations I thought I will share with you. Even with the pronounced seasonality and sell-through in January, we would like to point out that our activations are holding up. The second point to also note is that in conversations with our installers and distributor partners, they have started to see originations pickup in January when compared to December. Although the data we have is limited, these two points make us cautiously optimistic about Q2. We have also seen some analyst reports about a possible shift from loans to PPA due to the high prevailing interest rates. We work with thousands of installers every quarter. Our installer base is very diverse, both small and large installers that offer cash, loans and PPA options to homeowners. Any shift from one type of financing to another only has a minor impact to our business, almost negligible. No matter what the conditions are, our approach at Enphase does not change. We manage for the long-term. The basic thesis ongoing solar and storage remains intact, aided by a few factors: first, the utility rates, which are rising in many states across the U.S.; second, the 30% ITC tax credit, which has been extended for 10 years with the IRA; and third, the desire for energy independence and tackling climate change. At Enphase, we will continue to make best-in-class home energy systems with a laser focus on product innovation, quality and customer experience. Let’s switch to talking about battery. We shipped 122-megawatt hours of IQ batteries in Q4. We have now certified approximately 2,300 installers worldwide since the introduction of IQ batteries into North America, Germany and Belgium. Our installers in North America experienced a median commissioning time of 91 minutes exiting Q4 compared to 118 in Q3. We made significant software changes to improve communication, grid transitions and commissioning time, and I am quite happy with the performance of the team. As a result, we saw slightly higher sell-through of our batteries in Q4 versus Q3. We have also got a number of feedbacks from the installers about the fact of improved performance in terms of commissioning. We plan to ship 100 to 120-megawatt hours of IQ batteries in Q1. We also expect to start ramping our third generation IQ battery in North America and Australia in the second quarter. This battery has got 5-kilowatt hour modularity, 2x the power compared to our existing battery and 30-minute commissioning time in addition to being easier to install and service. We expect the higher charge discharge rate as well as the 5-kilowatt hour modularity to be uniquely beneficial to the homeowners under the upcoming NEM 3.0 tariff in California. With the significant changes we are making to our IQ batteries, we are confident that storage installations will become as efficient as microinverters. And as a result, the profitability for installers should get better. We expect our battery business to perform well in the second half of the year, both due to our third generation battery as well as NEM 3.0 adoption in California. Let’s now talk about our product for the small commercial solar market in the U.S. We are on track to pilot the IQ8P product and release it to production in the second half of the year. As our panel power continues to increase rapidly, we are increasing the power of the microinverter by 50% from 320 watts to 480 watts AC while sticking to the single panel architecture. This product as well as the 480 watt residential microinverter for emerging markets share the same design. Let’s discuss EV chargers. We shipped approximately 7,600 EV chargers in Q4 as compared to 6,370 charges in Q3. We began manufacturing Enphase branded EV chargers at our contract manufacturing facility in Mexico this quarter, helping us to increase capacity and reduce costs. We expect to introduce IQ smart EV chargers to customers in the U.S. in the second quarter. These chargers will provide connectivity and control, enabling use cases like green charging and allow homeowners visibility into the operation of their Enphase solar plus storage plus EV charger system through the app. We recently demonstrated our bidirectional EV charger technology combining vehicle-to-home, vehicle to grid and green charging functionality. This new bidirectional EV charger, along with Enphase’s solar and battery storage can all be controlled from the Enphase app, empowering homeowners to make use, safe and sell their own power. We are working with standards organization, EV manufacturers and regulators to bring this technology to market in 2024. Let me give you a quick update on our Enphase Installer Network, or EIN. We have now onboarded more than 1,300 installers to our EIN worldwide through a highly selective process focused on installed quality and exceptional experience to homeowners across the globe. Let’s discuss the installer platform. We made several updates to the Solargraf design and proposal software during the fourth quarter, incorporating battery design and proposal, document management, consumption modeling and several other improvements as requested by our installer partners. In addition, we made significant strides in automating the creation of permit plan sets with Solargraf software. We now have over 1,000 installers using Solargraf software. Next, I’d like to comment on NEM 3.0 in California. The CPUC has finalized its decision on NEM 3.0 in Q4. While we wish the export rates had been stepped down a little more gradually, the policy is generally in the right direction for incentivizing homeowners to adopt storage. The next step is for installers to educate homeowners to increase adoption of NEM 3.0 and companies like Enphase need to help in making this transition possible. That’s where Solargraf’s design and proposal engine comes in. Installers will be able to use Solargraf to provide homeowners with a proposal that optimizes their bills under NEM 3.0 tariff to minimize payback and maximize ROI. The advantage with Solargraf is that the underlying algorithm used by [indiscernible] will be the same as what is used in the actual operation of the Enphase home energy system. As the system complexity increases with solar, batteries, EV chargers and dynamic rate structures such as NEM 3.0, the tight coupling of Solargraf and actual product operation will maximize value to homeowners. In summary, we are quite pleased with our performance. As a reminder, our strategy is to build best-in-class home energy systems and deliver them to homeowners through our installer and distributor partners, enabled by the installer platform. We have many new products that are coming out in 2023 that will increase our served available market and positively contribute to the top line. We look forward to introducing IQ8 microinverters worldwide, introducing IQ batteries into more countries in Europe, launching our third generation battery in North America and Australia as well as introducing our highest power 480-watt IQ8P microinverter for both the U.S. small commercial and emerging residential markets. We are also excited about the upcoming Solargraf functionality, especially the NEM 3.0 functionality and finally, the work we are doing to bring both smart EV chargers as well as bidirectional EV charging capabilities to the market. With that, I will now turn the call to Mandy for a review of our financials. Mandy?
Mandy Yang: Thanks, Badri and good afternoon, everyone. I will provide more details related to our fourth quarter of 2022 financial results as well as our business outlook for the first quarter of 2023. We have provided reconciliations of these non-GAAP to GAAP financial measures in our earnings release posted today, which can also be found in the IR section of our website. Total revenue for Q4 was $724.7 million, representing an increase of 14% sequentially and a quarterly record. We shipped approximately 1,952.4 megawatts DC of microinverters and 122.1 megawatt hours of IQ batteries in the quarter. Non-GAAP gross margin for Q4 was 43.8% compared to 42.9% in Q3. The increase was driven by a favorable IQ8 product mix. GAAP gross margin was 42.9% for Q4. Non-GAAP operating expenses were $87.7 million for Q4 compared to $78.6 million for Q3. The increase was driven by international growth, customer service and R&D. GAAP operating expenses were $153.7 million for Q4 compared to $132.5 million for Q3. GAAP operating expenses for Q4 included $59.4 million of stock-based compensation expenses and $4.9 million of acquisition-related expenses and amortization for acquired intangible assets and $1.8 million of restructuring and asset impairment charges. On a non-GAAP basis, income from operations for Q4 was $229.4 million compared to $194 million for Q3. On a GAAP basis, income from operations was $157 million for Q4 compared to $135.4 million for Q3. On a non-GAAP basis, net income for Q4 was $212.4 million compared to $175.5 million for Q3. This resulted in non-GAAP diluted earnings per share of $1.51 for Q4 compared to $1.25 for Q3. GAAP net income for Q4 was $153.8 million compared to GAAP net income of $114.8 million for Q3. This resulted in GAAP diluted earnings per share of $1.06 for Q4 compared to $0.80 for Q3. We exited Q4 with a total cash, cash equivalent and marketable securities balance of $1.61 billion compared to $1.42 billion at the end of Q3. In Q4, we generated $253.7 million in cash flow from operations and $237.3 million in free cash flow. Capital expenditure was $16.4 million for Q4 compared to $8.9 million for Q3. The increase was primarily due to investment in additional contract manufacturing sites and R&D equipment. Capital expenditure for the full year of 2022 was $46.4 million. Now, let’s discuss our outlook for the first quarter of 2023. We expect our revenue for the first quarter of 2023 to be within the range of $700 million to $740 million, which includes shipments of 100 to 120-megawatt hours of IQ batteries. We expect GAAP gross margin to be within the range of 40% to 43% and non-GAAP gross margin to be within the range of 41% to 44%, which excludes stock-based compensation expenses and acquisition-related amortization. We assume a conservative euro FX rate in our Q1 guidance, and we don’t expect significant impact to our financials from fluctuations in FX rates. We setup our GAAP operating expenses to be within the range of $177 million to $181 million, including approximately $77 million estimated for stock-based compensation expenses, restructuring charges for site consolidation, acquisition-related expenses and amortization. We expect our non-GAAP operating expenses to be within a range of $100 million to $104 million. Moving to tax. Since we have utilized most of our net operating loss and research tax credit carry-forwards in 2022, we announced a significant U.S. cash taxpayer. We expect GAAP and non-GAAP annualized effective tax rate for 2023 to be at 22% plus or minus 2% before any IRA impact. In closing, we are pleased with our 2022 financial performance. We grew our revenue by 59% year-over-year, while spending on non-GAAP gross margin to 42.6% in 2022. We increased non-GAAP diluted earnings per share by 92% to $4.62 per share in 2022 and generated record free cash flow of $698.4 million more than double from 2021. With that, I will now open the line for questions.
Operator: [Operator Instructions] Our first question will come from Colin Rusch of Oppenheimer. Please go ahead.
Colin Rusch: Thanks so much, guys. I appreciate all the detail here. Can you talk about what your – how your pricing strategy is evolving here as you move into different configurations for the devices, and you continue to try to monetize the value here. Are there areas where you can increase price a little bit? Are you trying to hold it flat? Just talk to us about how that’s evolving here.
Badri Kothandaraman: Yes. The pricing in general right now is very stable. We do value-based pricing. We look at pricing versus the next best alternative. And we usually look at what value do we add in compared to that alternative. And typically, the things we focus on for microinverters are how is our quality compared to competition with our customer experience compared to competition. How is our ease of use compared to competition is the product a lot more easier to install and that matters to the installers and they – once they install, they do not want to come back to that site again. So they need excellent support. So if we look at all of these puts and takes, and we look at it versus the next best alternative. We price our products. We are extremely disciplined. There we also have a segmentation strategy, which means that we look at different flavors of power, and we price it according to the value those provide. In batteries, our strategy has been similar with the first two products in our generation, first generation and second-generation batteries, we fell a little bit short in terms of the differentiating features. And now with the third generation, I think we are going to be quite unique. We have modularity of 5-kilowatt hours, we will have double the power compared to the prior generation, which means a 5-kilowatt hour battery will have 3.84 kilowatts of continuous power and 7.68 kilowatts of peak power, which is amazing power. And then in addition, that’s going to have 30 minutes commissioning time, the thing that we didn’t get right on the first two generations. So with batteries, we are back into the value space, again, and we will price those products accordingly. So the short answer to your question, pricing is quite stable now.
Colin Rusch: Okay. Excellent. And then as you look at making a bigger push into the commercial rooftop market, can you talk a little bit about the preparation in the channel in terms of education and training on the product, what you’re seeing already in terms of sell-through with some of the legacy products as you prepare to really get into full swing by the middle or latter part of the year?
Badri Kothandaraman: Right. This product, we had originally 3 years ago, we started with introducing the IQ8D product. And that at that time was a good idea. It was 640-watt AC. And that microinverter covered two panels. And we got excited by that. We’ve worked on it. And that product, it took us some time to work on it because not only we had to get the microinverter right, we had to get the entire chain right, which is the microinverter performance, the gateway performance, most important, the software performance. And then we needed a proper design and proposal inject light Solargraf. So it took us quite a bit of time. And then we realized a few months ago that, yes, we can come with that product, we can release that product out, but that product is going to fall short in terms of power because the panel power in the commercial business has moved to, let’s say, greater than 500 watts. So, two panels will be 1,000 watts. 1,000 over 640 is a DCA ratio of more than 1.5. 1.5 is not acceptable in this business. The right number is between 1.2 and 1.25. So then we regrouped, we told the installers we are going to make a quick change, going back to the single panel, single micro architecture, we are increasing the power, leveraging what we did on the IQ8D. So it was not lost. We increased – we used that architecture and we basically are introducing now a product that is a 480-watt AC product. And that will take care up to 650 watts of panel power. So – and also accompanied by that product, we need the entire platform. What I talk about in the installer platform, which is starting from lead generation qualification because this is a design win business. It’s not like the residential business. There is some cycle time. You have to capture opportunities properly. You spend a lot of time in understanding analyzing the ROI, the tools need to be excellent for that. And then you need help the installers through the entire process. And so I think we are finally almost ready that we are looking to introduce – beat our test with the installers in the second quarter using the entire flow. Then we are planning to release to release it start ramping in the third quarter. And it’s going to take us a few quarters to ramp because like what I said, this is not like the residential business. It’s a design win business. And so we have to work with customers for an extended period of time and then convince them of the value proposition, and we will start winning. But our basic piece is there is the same. Product innovation great quality and support customers well, which is customer experience.
Colin Rusch: Great. Thanks so much, guys.
Badri Kothandaraman: Thank you.
Operator: The next question comes from Philip Shen of ROTH Capital Partners. Please go ahead.
Philip Shen: Hi, everyone. Thanks for taking my questions. Congrats on the strong Q4 and Q1. Badri, one thing that I noted in your prepared remarks was that you talked about how some of your customers are experiencing more caution or they are a little bit more cautious in booking orders. Normally, you have a 6-month order visibility, and that has been somewhat reduced as your partners watch their spending closely. Can you expand on that a little bit and help us understand when do you expect to get back to your 6-month visibility? You talked about originations improving in January. But based on some of the conversations we’re having in the industry, it seems like there is a fair amount of tumult and challenge out there with trade credit being pulled back and some bankruptcies and just some challenges out there. So how do you expect to navigate that overall and perhaps share gain is one source of strength. But just wanted to understand, as we look through the rest of the year beyond Q1, how do you expect the year to develop. Thanks.
Badri Kothandaraman: Yes. I mean, look, seasonality has always existed in the solar industry from Q4 to Q1. And historically, I would say that, that seasonality is a 15% number. That means, in general, the sell-through in Q1 is usually 15% down compared to the sell-through in Q4. Now right now, and I’m giving you a lot of data from January, and that’s the data we have. Our Q4 was very strong, including December. January, we start to experience a little more than 15%. That’s why I said more pronounced seasonality. And of course, we think it is due to the macroeconomic environment, but what we saw interestingly was the activations remain the same. I mean approximately and they were a little bit down they didn’t have that much of a seasonality. So that basically was somewhat good because the customer demand at least whatever we saw was – I mean, did not get that much affected. But having said that, I think the installers are quite cautious. Therefore, they basically are only buying what they need from their distributors, which is a stark difference from 2022, where they were focused on supply. They were focused on maximizing what they had in their warehouse. Now is that they are worried about their spending, they are worried about their OpEx, they are worried about their cash flow. Therefore, they are going to make sure they do exactly what is required. So that’s why I think – and I don’t have a crystal ball. I cannot be sure. That’s why I think we are seeing some customers who used to book 6, 9 months ahead, now will not book so much ahead. They will be a little more conservative. And regarding your question on more – that the originations, whether they are improving or not, this is the data. We work with thousands of installers. We have a very strong sample set. We talked to a lot of distributors. Some of our distributors service hundreds of long tail installers. So we don’t see originations ourselves. We only – what I reported to you is anecdotal information. But we hear that originations and especially originations in California are back to being strong in January. That’s what we hear. And I think that is – that’s why I said that – plus the fact that we are not seeing that much of a link in activation points me to cautiously optimistic Q2 versus Q1.
Philip Shen: Okay. Great. Thanks, Badri. Shifting gears to the IRA historical, I think on the last call, you were talking about the ability to get the majority of that credit. I was wondering if you could comment on the latest you see in terms of the microinverter credits? Do you expect to get the vast majority of that? And then in terms of the timing of the Section 45X or manufacturing PTC guidelines, some of our checks suggest this could be released much later than originally expected maybe a year later. Just curious if that impacts your plans at all? And if you can talk about CapEx required for the facilities and factories, that would be great. Thanks.
Badri Kothandaraman: Yes. So I’ll answer the question in reverse. CapEx required, basically, an auto line is roughly 750,000 units and auto line cost is including tax, etcetera, anywhere from $8 million to $10 million per line. So if we have to do six lines, that’s anywhere close to $60 million – $50 million to $60 million. So that’s the CapEx spending. Now to answer your question, do we expect to get the vast majority. Yes, we do. And then does the announcement of the treasury indication change our plans, no, it does not. We are going to start manufacturing in the second quarter. And we are going to ramp up a couple of lines with a new contract manufacturer in the second quarter. And then we are going to start the remaining lines. So totally, we will have six manufacturing lines by the end of 2023 with three contract manufacturing partners.
Philip Shen: Great. Thanks very much for color, Badri. I will pass it on.
Badri Kothandaraman: Thank you.
Operator: The next question comes from Brian Lee of Goldman Sachs. Please go ahead.
Brian Lee: Hey, guys. Good afternoon. Thanks for taking the questions. Kudos on the solid execution. First question I had was just around NEM 3.0. I think there is different implications of that policy uncertainty near term and medium term from what we’re hearing. So maybe just wanted to get your thoughts near-term, some views out there that maybe there is a pull forward on demand in California would be curious what you’re seeing with respect to that? And then kind of in the medium term, we’re hearing the industry is still maybe trying to figure out how to navigate this. So curious how you specifically are thinking about the second half of 2023 in the U.S. you kind of base case in California to be down significantly? And then how do you see yourself navigating that, if that’s the case? Are you driving more product to other states, focusing more in Europe? Just curious just how you’d be thinking about planning into that period of higher policy uncertainty in the back half? And then I had a follow-up.
Badri Kothandaraman: Yes. On NEM 3.0, we aren’t really seeing any pull forward right now. But in talks with few installers in California, both big and small, like what I said, the originations are up strongly. They are all quite optimistic. And maybe we will see something soon that’s why I talked about an optimistic Q2. But so far, we haven’t seen any pull forward demand yet. Now on talking about NEM 3.0 in general. NEM 3.0 is going to be incredibly positive for us. Because NEM 3.0, I mean, just so everybody gets it, I’ll talk about NEM 3.0, the features of NEM 3.0. Basically, the – previously, the import and export rates were the same. So therefore, when you exported electrons with the solar system didn’t really matter. As long as you exported, it got directly subtracted from what your input. That’s why it’s called net metering, and that was net metering 2.0. With NEM 3.0, it matters when you export these electrons. So you have 24 hours a day, 365 days a year. So basically, 8,760 data points, and there is an export rate for each of those data points. Each of those hours, there is an export rate. And – but what it works out to be is if you are interested in a pure solar system, your payback dropped understandably from, let’s say, 5 years, it increases actually to something like 7 or 7.5 years with the pure solar system. But the moment you add batteries, you can add batteries in steps of 5-kilowatt hour, 10-kilowatt hour, 15-kilowatt hour, the moment you add batteries, that payback comes right back in to that 5 to 6-year time, to that 5 to 6-year period. That is the stock difference with NEM 2.0. With NEM 2.0, the grid was the battery. Batteries didn’t have an ROI because batteries were primarily for resilience only. With NEM 3.0, batteries are going to be financially attractive. But it is complex. NEM 3.0 is definitely complex. So the installers need to demystify it for the homeowners. And that’s where an engine like solar draft and other engines come in, where if we are able to show this to the homeowner, we think it is a no-brainer. The homeowner will always pick solar plus storage. Now to add some more variance to it, Germany, for example, if you look at Germany, this is exactly what happened. They call it as a feed-in tariff where – so that is not 8,760 different rates for those hours, but they have one rate, which is a much reduced rate. And therefore, self-consumption becomes the norm in Germany. No one thinks about exporting solar, right? And that have an 80% attach there. This is going in the same direction, going in the same direction. In Germany, you have grid-tied batteries because power doesn’t go out there much. It goes out maybe once a year. We have grid tied battery. Grid tied batteries means you – the installation is simpler, and it is cheaper. I’m not sure whether California will go in that direction. Time will tell because we do have some color. We do have resilience issues as well. But I am sure markets will evolve a little in that direction, too. So bottom line, we are incredibly optimistic. We got the right batteries for it with the third-generation battery. We got the modularity, which I think will start becoming popular. Grid tied may become popular, but we will be ready to do either grid tied or off grid, on grid with backup. The things that are looking, we like NEM 3.0. Of course, we didn’t like the fact the step down happened right away. But I think in the long-term, it’s an okay decision.
Raghu Belur: One more – I will make one more comment to what Badri said. Obviously, the battery is the third generation of our battery is uniquely valuable for – in this NEM 3 environment. But in addition, it’s also the optimization engine that we will be running, right. The engine has to in near real time, every hour make a decision on whether it is charging the battery, discharging the battery, managing the load, etcetera. All of that energy management engine becomes extremely valuable and extremely critical. It all begins with the design engine itself. What we have mentioned this, as Badri mentioned it in his script, that design engine, the engine that you run in order to design the system is actually the same engine that you run to actually operate the system. And so bringing those two pieces together is extremely critical and extremely valuable. And that’s what we are spending a lot of time optimizing our engine and building up the design as well as the operation. And that it starts with the battery and it – that software is becoming extremely critical.
Brian Lee: Yes. No, I appreciate the color. Maybe two quick follow-ups. So, the long-term thesis I get, I guess on a shorter to medium-term basis, as you mentioned, Badri, the change is immediate and the industry is still trying to figure it out. So, are you – I guess what are you hearing from installers? Are they ready to convert customers, up-sell customers to batteries starting as early as the second half, or are we going to have pretty meaningful friction here until the market figures out the new rules and I guess some of the macro uncertainty, which you even alluded to earlier kind of settles out. And then secondly, if I just look at your numbers, battery volumes for your shipment guidance in Q1 will be down year-on-year for the first time since you guys started breaking that out. So, batteries all of a sudden don’t look like they are growing for you. What should we be thinking about for the next few quarters into the back half? Like does NEM 3.0 drive growth again, or is this a sort of more uncertain period of battery growth at least in the next couple of quarters until, again, the market kind of figures it out.
Badri Kothandaraman: We think you should think that NEM 3.0 is going to be great for us. We are going to be growing with – along with NEM 3.0, we are going to be growing. In addition, we are going to be growing outside California too, because I am not sure whether you cut the color on what I have said, the – we are working on the battery transition right now. The second-generation product is going to give way to the third generation. And we have fixed all of our issues in the field for the most part in terms of commissioning and all of the software performance is all in – is quite stable right now, and we are getting ready for the transition of the third-generation battery. The third-generation battery appointed to you on the benefits power, the 30-minute commissioning time, and modularity. So, we think that starting in the second half of the year, we think NEM 3.0 will be a huge catalyst for this in California. In addition, we expect to also see very healthy growth outside California. Your other question, we talk to a number of installers all the time. We recently talked to a bunch of California installers on exactly this, whether are they ready, and most of them are quite optimistic about increasing their battery attach because for the first time, with the batteries, the payback will be a very good payback between 5 years and 6 years. And I think many installers, of course, are worried about the customers having to shell out a little bit more upfront. But with the ITC, 30% tax credit and with an incredible payback they think the sale will be more easier than what you think. So, we are quite bullish about NEM 3.0 and especially our third-generation battery in that context.
Brian Lee: Alright. That’s great. Best of luck guys. I will pass it on.
Operator: The next question comes from Mark Strouse of JPMorgan. Please go ahead.
Mark Strouse: Great. Thanks very much for taking our questions. So, a lot of focus on the U.S. markets, but I just wanted to go back to your comments about Europe. So, that’s obviously been very strong in the last couple of years, kind of doubling each year. I know you don’t guide annually, but just kind of how should we think about that market in 2023? Do you think kind of an approximate doubling is kind of the base case that we should be expecting from here?
Badri Kothandaraman: Well, as you said, we do not guide something annually, but European market is growing. At least our internal reports talk about served available solar market of about 13 gigawatts in 2023. The markets to really – the markets that are really driving are Netherlands, Germany, Spain, France, Italy, and even actually Austria, Poland, etcetera. They are all becoming quite significant markets. In addition, attach – battery attach is also growing. Like what I have stated in the prior question – answering the prior question, the attach rate on batteries in Germany is 80%. So, solar plus storage is growing healthily. And the geopolitical situation accelerated it last year, and that’s continuing what do – what’s our position is. We have a very differentiated product. We have microinverters on the roof, which are very high quality, easy to install. We have a huge customer service operation there in France and in Germany, and we take care of customers well. On batteries, we are just starting to ramp. And we have introduced our batteries in two countries, Germany as well as Belgium. We expect to introduce many more countries this year, and that will happen every quarter. And so we expect to add a lot more battery revenue there. And I forgot to mention, IQ8, we will be introducing IQ8 into every country in Germany – I mean every country in Europe shortly. So – and then on top of it, we bought this company called GreenCom Networks. Their job is to network third-party EV chargers and third-party heat pumps to the Enphase solar and storage system, and therefore, homeowners can operate – can optimize their system from one app, can see everything that is happening. So, to answer your question, the market is growing. The market is growing really significantly. That’s what I told you 13 gigawatts, we are well positioned due to our differentiating value proposition, and we recently bought a company, GreenCom Networks that is even going to make that situation better where we provide a complete home energy management system to our installers.
Mark Strouse: Okay. And then maybe, Badri give you a little bit of a break. Mandy, can I ask, I mean, we are all doing the math on the domestic manufacturing tax credits. But I mean is there any color that you can share yet as far as kind of the upside from the tax credit, the potential downside from higher input costs just kind of the blended average, the appropriate way to be thinking about that U.S. manufacturing from here?
Badri Kothandaraman: Yes. I mean net-net, we expect a net benefit of between $20 and $30 a unit. I am giving you a wide range right now because we do have some puts and takes, and we will refine it as we go.
Mark Strouse: Okay. Thank you very much.
Operator: The next question comes from Steve Fleishman of Wolfe Research. Please go ahead.
Steve Fleishman: Yes. Thank you. Just you are growing your production capacity, you are doubling it from $5 million a quarter to $10 million. You said, I think by year end of 2023, just could you give us a sense of your conviction that the demand will be there to meet that doubling of production.
Badri Kothandaraman: Yes. Look, if you look at our past growth rates, you can see it, we grew from – we grew, I think, ‘21 to ‘22, we grew 59%. And at that time, I think end of ‘21, we were doing, if I remember right, around 3-ish million units a quarter. End of ‘22, we are now – we just reported 5-ish million units a quarter. So, you can see that that’s the nice growth. So – our long-term thesis on solar is – we are extremely bullish. We – especially with countries like Europe and with a strong position in the U.S. with our rapid entry into other emerging markets. We think it is the right call to basically invest in the right manufacturing, especially given the IRA benefits. So, even if we don’t use all 10 million units per quarter, we will use it sooner or later. And I think the ROI is well worth especially considering the net benefit to us. So, our logic was quite simple. We weren’t worried. We did a few back-of-the-envelope calculations. We thought it is the right thing for us to invest in these lines and fortunately, we have very strong and great contract manufacturing partners who need to do a lot of the heavy lifting, all our capital that we set out is quite limited. They do a lot of the heavy lifting, like what they are doing today, and two of them are existing contract manufacturers. So, we have deep relationships. And we are going to work with them in the long-term. So, we thought that’s the right decision for us to do, and we basically accelerated that effort. And once we make a decision, it takes us a few quarters. In the past, it has taken us four quarters to six quarters to ramp up the likes. So, our thesis is quite bullish on solar, and we think that’s the right call.
Steve Fleishman: Okay. No, that’s – so ultimately, expect obviously, significant volume growth from that. And then on margins, you mentioned, I mean you have had the gross margin held up well, but then the $20 to $30 that you just mentioned, is that a gross margin benefit net of cost?
Badri Kothandaraman: That’s the net – the IRA gives you an incentive, which is $0.11 a unit, $0.11 per AC watt. Now, every microinverter that we make, let’s say, the microinverter that we make 320 AC watts. 320 AC watts multiplied by $0.11, right. So, that number is roughly about $35. So, that $35 is the net benefit. Now, it takes us some incremental cost to manufacture in the U.S. versus manufacturing in Mexico, call that as some delta, right. It also takes us – we want to make sure our contract manufacturing partners are healthy as well. So, therefore, they share a little bit of that incentive. Therefore, the net benefit for us would be that $35 minus the incremental cost adder, minus the benefit we pass on to our contract manufacturing partners, and that number is what I reported as $20 to $30 net benefit per unit. That’s all incremental to what we have today.
Steve Fleishman: Great. I will leave it there. Thank you.
Operator: The next question comes from Jeff Osborne of Cowen & Co. Please go ahead.
Jeff Osborne: Hi. Good afternoon Badri. I have two quick ones. You touched a lot on Europe, but I was wondering if you can specifically drill down on the visibility you have there in terms of Q1 and Q2.
Badri Kothandaraman: Yes. Europe is actually the opposite. We do have good visibility. We do have these strong orders. Partners, our installer partners, distributor partners, they rely on us for supply. A few of them even come to our headquarters quite routinely, that’s something that we are starting to see. And we also visit them quite a bit. So, I think we do have decent visibility there.
Jeff Osborne: Great to hear. And then either for yourself or Mandy, I didn’t know if there is a way of doing sort of a gross margin walk between Q3 and Q4. Certainly, the IQ8 cycle is helping. But wasn’t sure if that’s the complete story, if there is a mix issue in terms of ancillary equipment or softer battery sales that led to the strength in the quarter? And then how do we think about the gross margin walk to get to the high end of the range for next quarter?
Badri Kothandaraman: Yes. It’s mostly about IQ8 mix. The IQ8 mix is 55% in Q4. That means if we – out of the 4.8 million microinverters that we shipped worldwide, 55% are IQ8. So, that’s principally contributing to the gross margin. And that number, the 55% was, how much Mandy in…?
Mandy Yang: It was 47% in Q3.
Badri Kothandaraman: Yes. 47% in Q3. That number, we expect that number to be a little greater than 60% in Q1, that explains the model.
Jeff Osborne: I appreciate that. A very quick follow-up. As IQ8 grows in Europe, is that accretive or dilutive to the results that you just reported?
Badri Kothandaraman: That will be accreted.
Jeff Osborne: Got it. Thank you. That’s all I have.
Operator: The next question comes from Ameet Thakkar of BMO Capital Markets. Please go ahead.
Ameet Thakkar: Good afternoon Badri. Thanks for squeezing me in. Just I guess a follow-up on that last line of questioning. But I think you guys have targeted to get to 90% in terms of IQ8 mix by the end of the second quarter, I think you just said 60% is kind of what’s baked in for the first quarter. Are you guys running a little bit behind on that?
Badri Kothandaraman: We are running a little behind, I would say. I would – I am going to – or rather we are going to introduce IQ8 into several countries in Europe in the near-term. So, in Q2, we will probably be at maybe a little lower than 80%. And I think in Q3, we should probably catch up to that 90%.
Ameet Thakkar: Great. Thanks for that. And then I think this time last year when we had this call, and certainly a battery kind of uptake in California will increase, and that might change things. But I think you guys said that like California was roughly 20% of total revenues post the initial NEM 3.0 proposal. I was just wondering if you could kind of give us kind of a refresh on where ‘22 ended up in terms of California as a percent of total revenues.
Badri Kothandaraman: Those numbers are right. Yes. California, the revenue is approximately 20% of our total revenue. That’s correct.
Ameet Thakkar: And it’s still 20% in ‘22?
Badri Kothandaraman: Yes. That’s right.
Ameet Thakkar: Great. Thank you.
Operator: The next question comes from Julien Dumoulin-Smith of Bank of America. Please go ahead.
Julien Dumoulin-Smith: Thank you. Hi. Good afternoon to you. Thanks for the time, appreciate it. Just first off, I wanted to come back to the margin question and talk a little bit more about structural margin expectations. I know we talked about value pricing earlier. Can you elaborate a little bit on where you stand vis-à-vis your margin expectations for the course of this year? You talked about pricing, pricing integrity, maybe there is a little bit of mix here question between storage and the other products here. How do you think about the evolution of margins here through the course of the year, especially as you think about mix? And then also a little bit of a nuance from earlier, if I can follow-up. On utilization, obviously, you are fully utilized today. You think about bringing on that capacity. Is there any margin impact from underutilization as you bring on some of this, given the comments about the backlog dynamic?
Badri Kothandaraman: Right. On the margin question, as we convert more of our mix to IQ8, margins will get incrementally better, and we will take care of it in our margin guide. Like what I have told you, margin is not always about pricing. It is about a lot of focus on costs. And we have an initiative called world-class in the company where we continuously focus on every small, whether it’s a capacitor, whether it’s a resistor, the gate driver, the AC fed, the porting, plastics, the cables, the connectors, we have a large team working on the transformers. We have a large team working on it. And what you see is a combination of good cost reduction efforts, plus good pricing efforts. So, we will – if you had noticed, we improved our non-GAAP gross margin guidance from the prior quarter by 1% because of the IQ8 transition plus the progress we are making on world-class costs. And I have told before that batteries, we are in our second generation, every generation, we will improve costs. And we will not be in a business until we are convinced we can meet that our model, the gross margin, the company operating model. So, on batteries, we are continuously working on it. Our third-generation battery will be better than the second-generation battery. We already have a plan on the fourth-generation battery to reduce energy intensity significantly, so that will be even better. So, it’s a continuous program. And your second…
Raghu Belur: Utilization.
Badri Kothandaraman: Okay. Utilization, utilization is to first order negligible impact. Those are the contracts that we have with our partners.
Julien Dumoulin-Smith: Got it. Alright. Great stuff. And then just if you can comment just quickly on just obviously, loan versus lease the evolution, what’s your ability to deviate and press volumes into the lease markets here if you think about it that way versus just helping and enabling your loan customer.
Badri Kothandaraman: We do business with a number of installers who offer leasing. And with some of those we have 100% share. With some of those, we have a healthy share mix. So overall, we are very well positioned. We have a significant shift between loan and lease. I don’t think we will miss a beat.
Julien Dumoulin-Smith: Got it. Great confidence. Thank you.
Operator: The next question comes from Eric Stine of Craig-Hallum. Please go ahead.
Eric Stine: Hi, everyone. Thanks for sneaking me in here. So maybe just on the contract manufacturing coming back to the U.S. Obviously, with that, with Romania coming on, it’s about better servicing the customer and lead times. But I am just curious, I mean, is there any margin benefit to that as well, you have been servicing global from Asia and Mexico to this point, any benefit from being closer to the customer?
Badri Kothandaraman: Net-net, it is a wash because if you think about it, it depends upon where the raw materials come from. So if you have manufacturing, for example, in Europe, unless you move all the raw material factories to Europe, to a first order, you will not get that benefit. So basically, you have to look at it as the full chain where your total cost is a function of how you transport the raw materials, then you make the product and then you ship the product to your customers. So in the case of Romania, yes, we are closer to the customers, but you do need to get raw materials to the factory. So I would say it is a wash. It is a wash. It’s not significant enough to talk about, but it will become significant if we are able to do exactly what I said, which is us, if we are large enough and if we are able to convince some of our – some of the suppliers to move factories to open up factories closer to the manufacturing area, definitely, there is some cost to be taken out.
Eric Stine: Any indications that, that is starting to happen. I mean, people come into the U.S. the tax credits and that sort of thing?
Badri Kothandaraman: Yes. As we get bigger and bigger, those will eventually happen. Right now, it is a process. I can’t tell you that it’s an event. It will happen one fine day. But for example, in Mexico, we have started to see that. Some of our suppliers have setup factories for enclosure, for example, or for connectors, they have started to setup. We are realizing some gain there, but it is an evolution.
Eric Stine: Okay, thank you.
Badri Kothandaraman: Thank you.
Operator: The next question comes from Maheep Mandloi of Credit Suisse. Please go ahead.
Unidentified Analyst: Hey, thanks for squeezing me in. This is David Benjamin on the line for Maheep Mandloi. I was wondering if you could give us a little insight into the mix for Europe in Q1?
Badri Kothandaraman: We basically told you that the revenue mix between U.S. and international is 71% and 29% and most of our international revenue is Europe.
Unidentified Analyst: Okay. And that’s the same for Q1 is – do you think that’s going to be in line for Q1 as well?
Badri Kothandaraman: We don’t usually talk about that mix for Q1, but I think it will be slightly better because Europe is a little strong in Q1 compared to the U.S.
Unidentified Analyst: Great. Thanks. And just a follow-up, on batteries, can you talk a little bit about what you think with the new third generation, if you think – or what do you think the retrofit opportunity is going to look like?
Raghu Belur: This is Raghu. I think retrofit in general, for storage is going to be better than before because if you recall the IRA now has 30% battery ITC, standalone battery ITC, which means that you can be decoupled from solar, you can come in and add battery later on into the system and still get your 30% ITC. And that’s – and for us at Enphase, we have a unique benefit because we are AC coupled we can very easily do that. So if you have an existing system, even if it’s an older generation solar system, you can come in and add an AC coupled battery. And you can add it in modularity of 5 kilowatt hours, you can grow it how many hour system you want to add, you can add it over time. All of those things are possible with our system and get access to the 30% ITC credit. So definitely a benefit for retrofit.
Unidentified Analyst: Great. Thanks very much.
Operator: The next question comes from Kashy Harrison of Piper Sandler.
Kashy Harrison: Good afternoon and thank you for taking the questions. So Badri, in your prepared remarks, you mentioned that distributors – some of your distributors are starting to see a bit of recovery in January. I was just wondering if you could maybe share some details on what those distributors are now seeing in terms of year-on-year growth and maybe how that compares to what they had seen in the prior quarters?
Badri Kothandaraman: No, those are not our data. So we cannot share those. All I said is basically – there are two things, which I said, we are seeing the distributor and installer partners a little more cautious in booking orders. Normally, we have 6-month order visibility and that has been – that is now somewhat reduced as they watch their spending. And then I also talked about the fact that our sell-through, which is what the distributors sell to the installers. Our sell-through was quite strong in December, while we saw a little bit more seasonality than normal in the month of January. On the originations, which I talked about where basically anecdotal data points from the installers that a few of them have seen the originations pickup in January compared to December. We also have our Solargraf design and proposal engine. We also have another company we bought called SolarLeadFactory, which also deals with selling leads to our installer partners. We are also seeing very similar trends that January is better when compared to December. So although the data we have is limited. And so I mentioned that the – this point makes us cautiously optimistic for Q2.
Kashy Harrison: Fair enough. Thanks for the clarification there. And this is my follow-up question. In the event that you’re the only major player that’s able to capture the microinverter credit. Can you speak to your willingness to use the manufacturing credits as a tool to gain market share? In other words, just passing on all those benefits to the customer and just using that to gain share? And that’s’ for me, thank you.
Badri Kothandaraman: Yes. I mean we normally don’t think like that. We think we are quite disciplined. The product must add value and it must add value compared to the next best alternative. That’s the only way for us to win long-term. So this one is an incremental benefit and we have to do a lot of work for that. There is a lot of R&D. There is a lot of work we have to do in reliability in qualifying these factories and having the right operations running there. Of course, I talked about the capital outlay, etcetera. So all of those are we are investing in all of those right now. But we are going to be extremely disciplined. We are not going to use this as an opportunity to lose that discipline in pricing.
Kashy Harrison: Thank you.
Operator: Next question comes from Praneeth Satish of Wells Fargo. Please go ahead.
Praneeth Satish: Thanks. When you look at the U.S. market, I think you mentioned more than the typical 15% seasonal slowdown in January. Can you maybe just unpack whether that’s more concentrated in in states like California? Or is it more evenly distributed across the country?
Badri Kothandaraman: I mean, in California, there is an added complexity due to the due to the weather in the first few weeks of January. So I would say yes, that’s the only difference there. So once the weather is normalized, I think, we are going to find it is equivalent across the states.
Praneeth Satish: Okay. Got it. And then just switching gears, I wanted to ask on the bidirectional charger and what you’re working on there. I guess how much demand do you think there’ll be for this product down the road? I think it’s small now, but down the road? And then when you think about pricing, I mean, how much value do you think you could ascribe to bidirectional charger given all the opportunities that it opens up.
Raghu Belur: Yes. This is Raghu. To begin with, we shouldn’t think about a bidirectional EV charger or something stand-alone by itself. It’s a core part of our energy management system. Energy management system will include, obviously, solar, stationary batteries, bidirectional EV chargers, grid management, etcetera. So it is part of that full solution that we offer. And within that full solution set, energy management piece, the software that’s federating how the energy should flow between all of these resources as well as into the house. So that’s the way we think about it. As far as – on a first principle basis, it would be if you buy an EV, you should buy directionally EV charger. It’s really as simple as that in order to gain the most benefit out of it because should think back, as we said, it does both of those use cases we talked about, which is both vehicle-to-home as well as vehicle to grid, vehicle-to-home means providing resiliency for the home. It’s the resiliency that the IQ8 on the roof provides see that our battery, modular battery system provides the resiliency now added resiliently that the car can also provide. And when it comes to vehicle to grid, this is about the ability to leverage the energy that you have stored in our – store in your car to provide things like grid services on act like a virtual power plant. So I think you bring a lot of value to it by being part of our energy system and really, I would expect that anybody who buys in EV would be naturally motivated to buy the Enphase Energy system, which would include the solar, the battery and the bidirectional EV charger.
Praneeth Satish: Great. Thank you.
Operator: The next question comes from Sophie Karp of KeyBanc. Please go ahead.
Sophie Karp: Hi, thank you for taking my question. A lot of my questions have been answered, maybe just one last one, if I may. So you doubling your capacity and presumably, the U.S. market will be going forward served by the manufacturing capacity in the U.S., right? So is there any risk that these capacity additions in the U.S. cannibalize some of your existing lines outside of the U.S. that current be important here? Or is the international growth that you’re expecting so strong that basically your international capacity will just serve outside of the U.S. demand? Thank you.
Badri Kothandaraman: Yes. I mean, once again, we are – I clarified this actually before. We are very disciplined. We will not – we are working with the same contract manufacturers. So we can see the business in totality with the – we are not going to basically shortchange them on their locations elsewhere. So it has to be carefully done and we have orchestrated the right plans. Fortunately, for us, our business is healthy, ramping up in Europe, Europe, for example, as well as U.S. quite strong usually. And it takes us anyway, four to six quarters to ramp such lines. So what we will do is a careful allocation process to make sure that all of the factories are correctly loaded. That’s what we will do.
Sophie Karp: Thank you.
Operator: The next question comes from Corinne Blanchard of Deutsche Bank. Please go ahead.
Corinne Blanchard: Hey. Thank you for taking my question. I just wanted to go back on the 1Q guidance and the range from $700 million to $740 million. How much of the softness have you embedded and incorporated into the 1Q guidance? And then I know you commented a little bit, but maybe if you can give even more color on what to expect in California in February and March? Thank you.
Badri Kothandaraman: Can you please repeat that one, we were not able to hear it properly.
Corinne Blanchard: Sure. I just wanted to get more color on the 1Q guidance in terms of how much of the softness you have incorporated into the guidance and then your view for California market for February and March?
Badri Kothandaraman: Yes. I mean we gave you 700 to 740 number. We told you clearly Europe, it’s growing quite well. We expect it to grow healthily in Q1 compared to Q4. And we also told you that the U.S. business will be slightly down as compared to Q4. So, that’s the color we gave you. As for February and March, I mean I don’t have a crystal ball, but like what I told you, it seems like the originations are starting to improve. So, we are optimistic things will get better.
Corinne Blanchard: Alright. Thank you. That’s it for me.
Badri Kothandaraman: Thank you.
Operator: The next question comes from Pavel Molchanov of Raymond James. Please go ahead.
Pavel Molchanov: Thanks for the question. Two quick ones about Europe. Now that the European Union is talking about this net zero industrial plan, do you envision receiving any credits or other manufacturing subsidies for your operations in Romania?
Raghu Belur: No, we have not heard about that or any – I mean about receiving any additional subsidies for our plant in Romania. However, there is active discussion going on in Europe about something analogous to the IRA that’s being done here. That we are tracking pretty closely. And if that happens, and there are some benefits for us. We will obviously avail of it. But other than that, we are not hearing of anything else.
Pavel Molchanov: Okay. And then I think other than Europe, your main international exposure is Australia. Can we get a quick update on that?
Badri Kothandaraman: Yes. Australia basically had a weak first half of ‘22. And the fourth quarter is basically recovering back to original levels. The exciting thing for Australia is we are just about to introduce our third-generation battery into Australia in the second quarter. And in addition, we are also planning to introduce our IQ8 microinverters there. So, they are going to have some brand-new products. And many Australian installers – we meet with the Australian installers once a quarter in a round table. And many of those Australian installers are excited about third-generation product. So, that will be an incremental revenue for us once we release it.
Pavel Molchanov: Appreciate the update on that. Thanks, guys.
Badri Kothandaraman: Thank you.
Operator: The next question comes from Sean Milligan of Janney. Please go ahead.
Sean Milligan: Good afternoon, guys. Thanks for taking my questions. Could you address or help us understand what percentage of the battery storage sales are going internationally right now? And then I know you are introducing that in a number of new markets. Can you help us understand how the pace of ramp up in new markets, what we should expect for that over this year?
Badri Kothandaraman: Yes. We normally do not breakout batteries between U.S. and Europe. But I will say this that Europe is getting started. U.S., we have introduced batteries now for the last since Q3 of 2020. So basically, 2.5 years there. The Europe guys are getting started, but they are rapidly expanding. We have introduced the product in two countries, Germany and Belgium and there are a lot more countries that we plan to introduce in 2023. Immediately, we are going to introduce in four countries, basically, Austria, Netherlands, France and I think Switzerland and the fifth one as well, which is Spain. So we are going to steadily ramp up the megawatt hours there. And when it becomes we will actually look at it between Mandy and me and see whether we will start breaking that out for future quarters.
Sean Milligan: Okay, great. Thanks.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Badri Kothandaraman for any closing remarks.
Badri Kothandaraman: Alright. Thank you for joining us today and for your continued support of Enphase. We look forward to speaking with you again next quarter. Bye.
Operator: The conference has now concluded. Thank you for attending today’s presentation and you may now disconnect.